Operator: Greetings. Welcome to Torrid Holdings Inc. Second Quarter Fiscal 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note, this conference is being recorded. I would now like to turn the conference over to your host Mr. Adams, you may begin.
Vince Adams: Good afternoon, everyone. Thank you for joining Torrid’s call today to discuss second quarter financial results for 2022, which we released this afternoon and can be found on our website at investors.torrid.com. With me today on the call are Lisa Harper, Chief Executive Officer of Torrid; and Tanner MacDiarmid, Interim Chief Financial Officer. Before we get started, I would like to remind you of the company’s Safe Harbor language, which I’m sure you’re familiar with. Management may make forward-looking statements, including guidance and underlying assumptions. Forward-looking statements are based on expectations that involve risks and uncertainties that could cause actual results to differ materially. For a further discussion of risks related to our business, see our filings with the SEC. This call will contain non-GAAP financial measures, such as adjusted EBITDA and adjusted EBITDA margin. Reconciliations to these non-GAAP measures to the most comparable GAAP measures are included in the earnings release furnished to the SEC and available on our website. With that, I will now turn the call over to Lisa.
Lisa Harper: Thanks, Vince. Good afternoon, everyone. And thanks for joining us for Discussion of our second quarter results. Before I start, I'd like to take a moment to acknowledge and thank the team of Torrid's that's been so resilient as we've navigated many important initiatives over the last quarter. I've been back at Torrid for four months now, and I'm continuously impressed by the passion and dedication of our employees.  During the second quarter, we made progress against priorities that we laid out on our last call. And we remain focused on making the necessary improvements to drive long-term sustainable growth. As a reminder, my top three priorities for the business are; number one, to enhance promotional and marketing strategies to better balance margin and sales growth. Number two, to drive growth across multiple opportunities, and number three, to develop a more efficient and effective organization by realigning resources. On today's call, I'll update you on our second quarter results and provide details around the progress we've made around each of these priorities. Starting with our second quarter results, net sales grew 2% to $341 million, which was in line with the high end of our updated guidance. Although we have a very loyal customer at Torrid, we are not immune to that macro and industry wide challenges that have impacted consumer sentiment and customer demand. Our storage experience drink decrease in year-over-year traffic as customers dealt with higher fuel prices and overall inflationary pressures that impacted demand. We were pleased however, to see an increase in web traffic along with higher conversion rates.  We also rolled our planned upgrades to our distribution center during the quarter, they created temporarily unanticipated headwinds in our fulfillment process. We were able to successfully complete the upgrades in July, and the fulfillment center is now operational, with order shipping within our service level agreement. Customers have noticed the improvement in delivery time, and we are receiving positive feedback across our social channels on the changes. Gross margin rate was 34.9% for the quarter, and adjusted EBITDA came in at $52 million. During the quarter we focused on clearing through seasonal inventory, which led to higher promotions and markdowns that impacted our gross margin rate. We will continue to focus on clearance through the first part of the third quarter. And then we have bought receipts to be more balanced in the back half of the year.  In addition to managing our inventory and upgrading the capacity in our distribution center, we also successfully launched a new ERP system during the quarter. These are enormous accomplishments and the team and I'm proud of the progress that we've made.  This brings me to the three main priorities. Our first priority is to refine our marketing and promotional strategies. We continue to believe that there's an opportunity to reduce site wide promotions and to realign our marketing and merchandising strategy. As we move into the back half of the year, we'll be testing into more category focused promotions based on price elasticity, with the goal of reducing discounts on styles with the strongest natural demand.  We're implementing these changes on site and we started providing percentage discounts based on inventory and demand, as opposed to blanket promotions. This is the first step in refining our promotional cadence and driving margin improvements. In marketing, we're focused on capturing customers through our dressing room experiences in stores, where our most valuable customers discover and fall in love with the brand. Despite the pressure in the macro environment, stores remain our number one acquisition channel. And we know that customers acquired through the stores spend 25% more in their first year compared to those acquired on the web. We also have the strategic advantage of a profitable store fleet that offers an unparalleled shopping and fitting room experience with new customers going on to engage with Torrid across both channels.  In addition to driving customers into our stores, we've been refining our online marketing strategy, and we were able to deliver improved efficiencies in our spend while still building a healthy customer filed through a focus on both acquisition and retention. During the second quarter, we began targeting lapsed customers more aggressively through email campaigns and our other digital channels. And we saw a 600 basis point comp improvement and reactivated customers versus the first quarter trend. We will continue to reevaluate our marketing spend throughout the year and reallocate to where we see the most opportunity to acquire and retain customers.  This brings me to my second priority, which is driving growth across categories. We have exciting launches coming in the third quarter that we believe will help accelerate our business. Our modern work wear aligned Studio by Torrid launched today, and it's the biggest launch in our brands history. We're excited to bring our customer and elevated assortment through a refined comfort based offering as she prepares for her return to work.  We've also seen success with our woven pants, sweaters and dresses, and will be offering more fashion in these categories in the back half of the year. While product remains a competitive strength, we do believe our assortment has been too reliant on basics, and we are shifting our merchandising strategy to offer a better balance between fashion and basic styles.  Additionally, we will focus our assortment are more wear to work and products with a celebratory in use. We are also adding more newness color and excitement for their upcoming fall assortment and we're elevating our marketing approach through better storytelling around our product and fit across all channels.  These efforts kickoff starting with our Studio launch, and continue into the back half of the year with holiday. Within Curve, we're opening eight Curve test stores between now and the end of the year. We still believe in the long-term growth potential of Curve and we have plans to innovate our assortment through an evolution in our bra and panty businesses. My third priority is to improve our organizational structure. As promised last quarter, we've made two key hires that I believe will be instrumental in helping us drive growth and scale in the business. Tim Martin, our new Chief Operating Officer and Chief Financial Officer is a seasoned retail Executive, who brings more than 25 years of experience across a variety of consumer facing companies. He has experienced in the public markets and will be critical to unifying the operational and financial aspects of our business.  Hyon Park recently joined as our Chief Technology Officer reporting to Tim and he will lead the team in building an integrated technology platform. Hyon also brings 25 years of information technology and consulting experience across retail and direct to consumer companies and will be pivotal in helping to build more robust technology and digital capabilities. With respect to infrastructure, we have made significant progress across the organization. The changes to the distribution center have doubled our capacity and has more room to scale. As part of our efforts to drive efficiency, we negotiated a new private label credit card agreement that includes plans to streamline the cardholder experience, through better marketing and technical enhancements. The upgrades we made to our Oracle ERP system will also allow for enhancements to our website and better integration of data across the organization.  In closing, we believe that the changes we are making to the business will position us for long-term healthy growth. We expect to see the benefits of the changes as we move through the year and into fiscal 2023.  And with that, I'd like to turn the call over to Tanner to provide more detailed financials on the quarter and our updated guidance.
Tanner MacDiarmid: Thank you, Lisa. And good afternoon, everyone. We will begin with a detailed discussion of our financial results followed by an update on our outlook for the rest of the year. Starting with the second quarter results. Net sales grew 2% to $341 million compared to $333 million last year, and comparable sales in the quarter were up 1%. This is on top of the 30% comp in the second quarter of last year. As Lisa discussed, we experienced challenges related to the macro environment that impacted our expected demand this past quarter. We also made upgrades to our distribution platform to increase capacity for eCom order fulfillment, which caused temporary shipping disruptions that we corrected by the end of the quarter. Our fulfillment center is now fully operational, and we are seeing improved throughput and capacity that will limit delivery backlogs moving forward. Gross profit for the second quarter was $119 million or 34.9% of net sales. This compares to $150 million, or 45% of net sales in the second quarter of last year. Approximately 600 basis points of the decline was due to higher discounts and promotions to clear inventory. The remainder of the decline was inflationary, and related to increased product and transportation costs partially offset by price increases. As Lisa mentioned, we plan on higher promotional activity through the first part of the third quarter to clear through inventory. Selling general and administrative expenses in the quarter were $66 million compared to $179 million for the second quarter of the prior year. As a percentage of sales SG&A decreased to 19.3% from 53.8% compared to the second quarter of last year, due to lower share based compensation and higher private label credit card income. The decrease in share based compensation expense during the quarter was due to the remeasurement of our equity value during the second quarter of the prior year as part of our IPO. Additionally, we've renegotiated our new private label credit card agreement that resulted in additional card income and drove 230 basis points decrease in SG&A as a percentage of net sales. Excluding share based compensation and private label credit card income, our SG&A increased by 180 basis points versus the prior year, primarily caused by inflationary pressures, including higher wages. Marketing expenses in the quarter came in at one at $14 million compared to $11 million in the second quarter of last year. As a percentage of sales marketing expense increased approximately 80 basis points compared to 3.2% in the second quarter of last year. During the quarter, we focused on driving improved marketing optimization through a shift of our digital spend into customer reactivation efforts, where we expect a greater return on investment. This shift in strategy, along with a rationalization of marketing tests in the quarter drove efficiencies in our spend. We will continue to invest in marketing, where we see the most opportunity including spend to drive new, existing and lapsed customers into our highly profitable store environment. Turning to profitability. Net income for the quarter was $23 million, or $0.22 per share versus net income of $39 million, or $0.35 per share for the same period last year. We had no adjustment to net income in the second quarter of 2022, but for comparison purposes, adjusted net income last year was $39 million or $0.36 per share. In addition to GAAP measures, we believe that adjusted EBITDA and adjusted net income are important measures that we use to evaluate and manage our business. Adjusted EBITDA came in at $52 million or 15.3% of net sales, compared to $87 million, or 26% of net sales in the second quarter of 2021. Now turning to the balance sheet. Our cash and cash equivalents at the end of the quarter totaled $23 million. Total liquidity at the end of the first quarter, including available credit was $162 million. During the quarter we repurchase 9 million of common shares outstanding and had 45 million remaining our stock repurchase program at the end of the quarter. Total debt at the end of the quarter was $335 million, compared to $341 million in the second quarter of 2021. Our net debt to adjusted EBITDA was 1.7 times at quarter end. Inventory at the end of the quarter was $181 million, compared to $110 million in the prior year. Excluding in transit, total inventory at the end of Q2 was up 40% to pre pandemic 2019. Compared to a 32% sales growth and increased product costs over that same time period. As we move through to the quarter, we remain focused on selling through excess inventory. And with our current plan sales and receipts, we remain comfortable with our inventory levels are positioned for the remainder of the year. We opened five Torrid stores and closed three stores in the second quarter, and plan to open approximately 34 stores for the year, including eight close stores. Turning to the outlook. Given the uncertainty in the macro environment, we expect the second half of the year to follow similar demand trends that we've seen in the first half. For the third quarter, we projected net sales to be between $290 million and $305 million for the quarter, and adjusted EBITDA to be between $32 million and $38 million. This outlook assumes our gross margin rate will continue to be pressured as we clear through inventory. For the full year, we're forecasting sales to be between $1.26 billion and $1.3 billion. For adjusted EBITDA, we are projecting between $160 million and $175 million. As a result of higher interest rates on our term loan, we expect interest expense to be approximately $8 million in the third quarter. Capital expenditures are projected to be between $30 million and $33 million for fiscal 2022, reflecting infrastructure investments and our previously mentioned 34 new store openings. We're also planning to close approximately nine stores this year. And finally, this is my last call as Interim CFO of Torrid. I am incredibly honored to have served as CFO of such an inspiring company. And I want to thank Lisa and the entire team for their support. To ensure a smooth transition for Tim, I will continue to stay on with Torrid as a consultant.  With that, I'll now turn it over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of Mark Altschwager, with Baird. Please proceed with your question.
Mark Altschwager : Good afternoon. Thanks for taking my question. So just starting out with the sales guidance. The guidance for the back half of the year doesn't appear to incorporate much improvement in trend from worrying the business has been tracking recently. But at the same time, shipping disruptions have been corrected. And you do sound pretty excited about the product flow for the back half. So I'm hoping can you just walk us through your thinking a bit more on what the back half of the year might look like?
Tanner MacDiarmid: Yes, I think just given the macroeconomic environment and while we do a little bit of conservative with the forecast in back half of the year, we're projecting the back half to be on trend with what we've seen in the first half of the year. And that's relatively flat to last year. That being said, we are optimistic about all the things that Lisa has mentioned in her commentary on product and operations and our ability to execute.
Mark Altschwager: Okay, thank you. And then on the pricing and promotional strategies. Much of the industry seems to be planning for more aggressive promotions in the back half. So, we're just hoping you can give us some perspective on how you're planning to navigate that and whether there's been any change to -- whether that broader promotional environment has affected your plans at all regarding testing some new strategies? Thank you.
Lisa Harper : Sure. I think it's very difficult to extract the pressure of clearing through excess inventory that's been rampant in the sector for the first half, particularly the second quarter from those impacts of the macro environment. As I've said before, the focus here is really not just pulling back on overall promotions, but in right sizing the promotion to the specific product category, or even to the SKU level, so that our messaging can be and up to percentage off instead of a flat percentage off, which has been our tradition on particularly on the web channel. So -- whereas historically, we've been up to 20-25 30-35 off on web, now, the messaging will switch to up to 35 off and will determine the actual promotional discount on the items based on the demand of those items.  So the same modeling that we do to price, our markdowns based on price elasticity and availability, will use -- we're starting to use that for our pricing our overall day in and day out promotions. I do feel like over time as we bring in more and more newness in product categories based on what the customers been asking for that. And as we adjust our inventory levels, as we have done for the back half of this year, we'll be able to moderate that over time. But we're certainly not espousing eliminating promotions or cancelling promotions. We're just about optimizing them to our gross margin results.
Mark Altschwager: Thank you, and best of luck. 
Operator: Our next question comes from the line of Kimberly Greenberger with Morgan Stanley. Please proceed with your question.
Unidentified Analyst : Hi, this is Amanda on for Kimberly. Can you please just speak to your monthly sales trends during the quarter as well as anything you're seeing quarter-to-date?
Lisa Harper : We have the same -- in the second quarter, I think we were very consistent with what we've heard from the market, which was on June 30, when the average gas price in the U.S. at $5, that definitely had an impact and direct correlation to overall traffic. That at the same time was when we accelerated promotions to deal with the overall inventory situation. So that was kind of a combination. And once again, very difficult to extract broad macro trends from the results that we had, as we were dealing with the over inventory situation. As we mentioned in our comments, we did have positive traffic trends online, not in stores. But we had good conversion trends across the board in the second quarter. Third quarter results, I won't get into at this point. But we're still deeply through the middle of this month, another week or two, focus on clearing through these goods as we get out of the Labor Day holiday and into setting fall. And so will -- we have seen similar trends as we've dealt with clearance and promotion on our excess inventory. And we expect to see improvement in both traffic and conversion on both channels as we move forward to the back half of the quarter.  Again, and we've reinforced generally that we do have a conservative approach to the back half of the year. And we're not looking for dramatic improvement. And either traffic or conversion as we move to the back of the year -- back half of the year. But we do have, I think, very strong product and very strong inventory where we bought down about 7% in dollars in the back half, and about loads teams and units. So we feel like we have an opportunity to drive traffic with and conversion and healthier margin as we move to the back half of the year. But we're not baking in a lot of that upside yet.
Unidentified Analyst: Great. Thank you so much. And then just one more for me. We've seen in our store checks that your assortment feels like it's broadening out in its appeal. And I know you just mentioned that you've launched your expansion to work wear, so can you kind of just talk about how you're thinking about your merchandise strategy overall in long-term. Should we expect a meaningful shift there?
Lisa Harper : Did you say broadening now in the appeal? 
Unidentified Analyst : Yes, that's correct. 
Lisa Harper: Okay. So, yes, I think that once again Torrid is in a market position that we can provide the customer everything in their closet. We focus on a 34-year old customer in terms of mindset. So that ranges through in terms of psychographics to a younger looking assortment as well more fashion oriented. But we're very focused on the launch of things like Studio that gives her a lot of flexibility and alternatives in her dressing.  So it is a broader assortment, generally because she doesn't have choices in the marketplace. And we know every new category that we've added, every concept that we've added, has very strong appeal because we can provide everything in our closet, not changing the focus of the customer from a demographic or psychographic perspective, but giving her more options and more choices to make within the assortment.
Unidentified Analyst : Great. Thank you so much. 
Lisa Harper : Does that answer your question? 
Unidentified Analyst : Yes, definitely. 
Operator: Our next question comes from the line of Oliver Chen with Cowen. Please proceed with your question.
Oliver Chen : Hi, thank you. Looking ahead in terms of the assortment and changes you're making, how would you prioritize the biggest opportunities? And how are you broadly thinking about pricing and averaging or retailers just to be sure that you're offering a compelling value? In nearer term as we understand the clearance and the inventory you need to get through? How many more quarters will that take? And what are the right guardrails to try to minimize impact to long-term brand equity in terms of offering discounting? Thank you.
Lisa Harper : Sure, so I answer the last question -- last part of your question first, which is I would say right now that we're really comfortable with the mix of inventory between clearance and regular price online, and we're at 2019 levels and stores between a mix of clearance and regular price. We think that it is getting progressively better. And as I've mentioned, where the inventories purchased on the back half of the year is down 7% year over year. So we feel like that this quarter is the quarter where we're really dealing the last quarter where we're dealing with this excess inventory issue, it will improve as we go into the back half in the third quarter as well as in the fourth quarter. I didn't write down the first part of your question, although…
Tanner MacDiarmid: Pricing promotion. 
Lisa Harper : Pricing promotion. Thanks. So, once again, we're not really taking pricing up anymore in the back half of the year, over what we did in the first half of the year. And so we look at an item by item basis and the market value -- what we ascertain to be the value to the customer and comparable pricing in the marketplace as we're making all of our retail decisions.  On the promotion side. Once again, I think from a product basis on Studio and things that we've done for the back half of the year, which are more focused on celebration and better mix of dressy sexy where the word combined with our regular casual assortment. I think that it gives us more breadth plus price in the mix. And an opportunity to cautiously pull back on the depth of the discount. But still understanding that the macro challenge is promotionally heavy. I will say that fundamentally, the customer is very dedicated to Torrid. Looks at new and now every day on the website shops are constantly and when we get great feedback as soon as we introduce new looks and new categories of business, and we're starting to see that as we go into the later thirds backup the third quarter into fourth quarter. So from a pricing basis, market driven value oriented in terms of the value to the customer. And then from the product mix and innovation, I feel like we are offering the customer a lot of newness in the back half of this year.
Oliver Chen: Okay, and as you think about what's happening in the business and the tweaks and opportunities you're pursuing, what about store count and growing the store base is it's still the right time for that and that opportunity? We'd love to hear your thoughts there.  Than lastly, Curve has always been a big opportunity. We'd love your thoughts on Torrid Curve and some key priorities and what you see for what's next there from that assortment? Thank you. 
Lisa Harper : Fantastic. So and in terms of stores, what I will say is that our store fleet is very profitable. And it generates a very, very desirable economic model in terms of customer acquisition, and the lifetime value of that customer, the quality of that customer. As I mentioned in my comments as they come through the store channel, which is where we get most of our new customers, they spend more 25% more in the first year, and they become, I think 60% of them become Omni customers by their second year. And so they are by far our most valuable customers, our net promoter scores in our stores are some of the highest I've ever seen in retail. So it is a great experience for our customer to enter through the store channel.  That being said, it's profitable, it's great for customer acquisition. And so definitely, it's part of our strategic review as we move forward in determining how we should be looking at stores and rolling out stores. So it is definitely on the map. And definitely part of how we're looking at growing strategically. And in the future. I think that it is actually a competitive advantage for us, particularly because our customer feels that driven and that dressing room experience really converts them, and makes them a very valuable customer. It's critical to our business, we feel. As far as Curve. I believe very strongly and I can see signs that it has a dramatic growth opportunity. I feel like we're -- I know that we're opening the eight stores, the first one will open the first week of October, and they'll all be opened by the first week of December. And we have a point of view on that. And we'll be able to actually test and react to how the customer responds to that experience, I feel like we can offer and we're focused on offering a broader range of product categories in that mix and appealing to a broader range of customers. So the opportunity to acquire a slightly younger customer through that concept is an opportunity for us.  The other thing that we think about with that is how we focus on category businesses, and how we use this to grow in conjunction with Torrid and graduating from Curve into the Torrid's next. So there's a lot of strategic work being done right now to ensure the way that we test and learn and react and analyze that business is appropriate to supporting long-term growth and the intimate side of the business.  Once again, as I mentioned earlier comments earlier answers that this is -- this customer wants to buy everything in their closet from us. And we have an opportunity to continue to build the breadth and depth and the growth of this category. So I'm still very positive about it. I just want to make sure that we're doing all the appropriate analytics and planning it an aggressive but responsible way. And more to come on that. So definitely clearly at the top of the list in terms of strategic expansion and investment. And we'll continue to move forward with that.
Oliver Chen: Thanks so much, Lisa. Best regards. 
Operator: [Operator Instructions] Our next question comes from the line of Dana Telsey with the Telsey Advisory Group. Please proceed with your question. 
Dana Telsey: Good afternoon, everyone. Lisa, as you think about the buckets underneath the margin, whether it's product costs, transportation costs, marketing expense, just the drivers, how do you envision the back half of the year and is there a difference between the first half and the second half? And then with the work were aligned that you introduce. Any initial reaction to what percent of the store is meeting expectations? Does it -- does sales velocity differs by region or by channel? Thank you.
Lisa Harper : So again I'll will answer the second question first. And it launched today, I can tell you that, the top eight of the 10 items that we're sold so far this morning, were in that line. So that's a good sign, but way too early to kind of give you that regional or, or channel breakdown. Again, their largest launch ever and it's very broad and we are excited to really provide the type of product that she has been asking for. So I'm excited about that.  The margin conversation, I think is, there's not a lot of difference in kind of what's underlying it in terms of transportation costs year over year, or cost of goods year over year. That's pretty much baked in at this point, I think the opportunity for the back half of the year, and we don't have a lot baked into our model, let's be honest about it, because we are a little bit of a wait and see at this point as we make sure that she responds appropriately and the way that we expect her to the new inventory levels as well as assortment. So, the big -- the biggest opportunity for margin movement in the back half of the year is not having an excessive amount of inventory to clear, and then the desirability of the product and being able to adjust our promotional stance and depth based on that. So the back half of this year, it's not cost of goods changing dramatically, it's really not a big change in freight. We have some advantage in the fourth quarter, but in general, it's -- we're conservative as we're thinking about that.  It's really about inventory levels and units being down in the low teens from last year, dollars being down mid 7%. And then the opportunity to really bring the new categories that she's been asking for and build the desirability. A little bit off, I think trend of the broader marketplace. But these are really important things that I think we've added to our assortment for the back half of the year that she's been asking for. And will the opportunity for margin expansion is from the demand on -- demand and desirability of the product.
Dana Telsey: And it's one other quick thing as we approach to the upcoming holiday season sooner rather than later. Any shifts that you're making, whether it's marketing, or how you're thinking about holiday for this year.
Lisa Harper : I would just say broadly, our storytelling and marketing, our launches in marketing are at the top of mind. We're doing more launches in the back half of this year than we've done in a while. And I think we've always had great response. We have a couple of new pants in studios, we have some little black dresses that we're bringing, and we have some more dressy and sexy options that we haven't really had for a while. And so I think more focused on storytelling.  The other piece that we highlighted in the comments is really to focus on retention and reactivation that we're seeing positive results in with our customer file. As we bring in new categories of business, bringing them back to the store back to the store experience back to the fitting room is something that we're focused on in some marketing, both digitally and then also from brand marketing as we move forward.  Does that answer your question? 
Dana Telsey: Yes, does. Thank you. Great. 
Operator: And we have reached the end of the question and answer session. I'll now turn the call back over to Lisa Harper for a closing remarks.
Lisa Harper : Great. I do want to highlight something I didn't answer in the questions, the amount of improvements we made to the infrastructure in the quarter, doubling of the capacity in the distribution center and delivering on SLAs and the relaunch of new ERP which is not for the weak of hearts, what was accomplished by the team in the second quarter. So I really want to congratulate them on that.  I also want to thank Tanner for his leadership and guidance as we've moved through these last four months and really enjoyed working with you and looking forward to continuing that experience. And we look forward to talking to all of you guys again in the third quarter call very soon. Take care.
Operator: And this concludes today's conference and you may disconnect your line at this time. Thank you for your participation.